Operator: Good afternoon, and welcome to Landstar System Incorporated Year-End Earnings Release Conference Call. All lines will be in a listen-only mode until the formal question-and-answer session. Today’s call is being recorded. If you have any objections, you may disconnect at this time. Joining us today from Landstar are Frank Lonegro, President and CEO; Jim Applegate, Vice President and Chief Corporate Sales Strategy and Specialized Freight Officer; Jim Todd, Vice President and CFO; Joe Beacom, President of Landstar System Holdings Incorporated; Matt Dannegger, Vice President and Chief Field Sales Officer; Matt Miller, Vice President and Chief Safety and Operations Officer. Now I would like to turn the call over to Jim Todd. Sir, you may begin.
Jim Todd: Thank you, Arlene. Good afternoon, and welcome to Landstar’s 2024 fourth quarter earnings conference call. Before we begin, let me read the following statement. The following is a safe harbor statement under the Private Securities Litigation Reform Act of 1995. Statements made during this conference call that are not based on historical facts are forward-looking statements. During this conference call, we may make statements that contain forward-looking information that relates to Landstar’s business objectives, plans, strategies and expectations. Such information is, by nature, subject to uncertainties and risks, including, but not limited to, the operational, financial and legal risks detailed in Landstar’s Form 10-K for the 2023 fiscal year described in the section Risk Factors and other SEC filings from time to time. These risks and uncertainties could cause actual results or events to differ materially from historical results or those anticipated. Investors should not place undue reliance on such forward-looking information, and Landstar undertakes no obligation to publicly update or revise any forward-looking information. I’ll now pass it to Landstar’s CEO, Frank Lonegro, for his opening remarks.
Frank Lonegro: Thanks, JT, and good afternoon, everyone. First, I want to thank our BCOs and agents and the Landstar employees who support them every day. It is unbelievably energizing to engage with our network of entrepreneurs as we work together to position Landstar for the future. During my first year as CEO of Landstar, I traveled extensively throughout the country, meeting with agents and BCOs and have been thoroughly impressed with the capability, the uniqueness, the resiliency and the level of commitment of the independent business owners, who comprise the Landstar network. They are exceptional leaders in our industry and are key to driving the continued success of the Landstar business model. 2024 was a challenging year in freight transportation, but it was not without success and accomplishment for Landstar. As we move into 2025, we continue to be laser focused on accelerating our business model and executing on our strategic initiatives. In one major 2024 bright spot, I am extremely pleased with the performance of the heavy-haul service offering last year. We generated approximately $498 million of heavy-haul revenue during the 2024 fiscal year, record revenue performance for Landstar heavy haul. That achievement was driven by a 9% increase in heavy-haul revenue per load and a 3% increase in heavy-haul volume. Turning more broadly to our core truckload service offering, the foundational work we did in 2024 puts us in a great position to leverage the freight environment when it turns our way. We are also focused on our commitment to continuous improvement in the level of service and support we provide to our customers, agents, BCOs and carriers each and every day. Turning to Slide 5. The freight environment in the 2024 fourth quarter continued to be characterized by relatively soft demand and readily available truck capacity. The impact of accumulated inflation on goods continue to impact the amount of truckload freight generated in relation to consumer spending. Truck capacity continues to be readily available with small pockets of supply-demand equilibrium and market conditions continue to favor the shipper amidst choppy conditions in the industrial economy. Considering that backdrop, Landstar’s revenue performance was admirable in the 2024 fourth quarter, delivering top line results just slightly ahead of the midpoint of our fourth quarter guidance while earnings per share came in modestly below the midpoint of the guidance, primarily due to some variable contribution margin and insurance and claim cost pressures. Our fourth quarter guidance issued in conjunction with our 2024 third quarter earnings release, call for the number of loads hauled via truck to be 4% below to 1% above the 2023 fourth quarter and overall revenue per truckload to be flat to 4% above the 2023 fourth quarter. The actual number of loads hauled via truck in the 2024 fourth quarter was 3.4% below the 2023 fourth quarter within the lower half of our guidance range. Actual revenue per truckload in the 2024 fourth quarter was 3.1% above the prior year quarter within the upper half of the guidance range. Our balance sheet continues to be very strong and our capital allocation priorities are unchanged. I’m a strong believer in the company’s stock buyback program and I’m committed to patiently and opportunistically executing on our existing authority to benefit our long-term stockholders. As noted in the release, we deployed over $82 million of capital toward buybacks and repurchased approximately 452,000 shares of common stock during the 2024 fiscal year. In the fourth quarter, given the shorter open window period and the ‘Trump bump’ experienced in the equity markets, we did not deploy significant capital toward buybacks in the quarter but declared a $2 per share special dividend. We continue to invest through the cycle in leading technology solutions for the benefit of our network of independent business owners and allocated a significant amount of capital in 2024 towards refreshing our fleet of trailing equipment. Turning to Slide 6 and looking at our network, the scale, systems and support inherent in the Landstar model helped to drive the operating results generated during the 2024 fourth quarter. J.T. will get into the details on revenue, loadings and rate per load in a moment. As noted during previous earnings calls, I’ve been in the transportation sector for most of my career and realized just how important Landstar’s safety culture is to our continued success. Our safety performance is a direct result of the professionalism of the thousands of Landstar BCOs operating safely every day, and the agents and employees who work to reinforce the critical importance of safety at Landstar. I’m proud to report an accident frequency rate of 0.59 DOT reportable accidents per million miles during the 2024 fiscal year, an improvement approximately 2% as compared to the 2023 fiscal year. This is an impressive operating metric that speaks to the strength, skill, talent and dedication of our BCOs and provides a point of differentiation our agents are able to highlight in discussions with our freight customers. Turning to Slide 7, in the capacity side, BCO truck count decreased sequentially in the fourth quarter from the third quarter by 184 trucks, consistent with our expectations of BCO declines continuing into the fourth quarter. On a year-over-year basis, BCO truck count has decreased approximately 10% since the end of the 2023 fourth quarter, consistent with the year-over-year truck revenue decline experienced in fiscal 2024. It is typical to incur turnover in BCO truck count in a low rate per load environment. BCO turnover also continues to be influenced by the significant increase in the cost to maintain and operate a truck today compared to before the pandemic. We would expect BCO count to continue to decline in the first quarter, given the challenging operating environment faced by many truck owner-operators and the typical seasonality in truck count experienced from the fourth quarter to the first quarter. I’m excited about Matt Miller’s recent promotion to Chief Safety and Operations Officer and him putting a fresh set of eyes on how we recruit, develop and retain BCOs. I will now pass the call back to JT to walk you through the 2024 fourth quarter financials in more detail. JT?
Jim Todd: Thanks, Frank. Turning to Slide 9, as Frank mentioned earlier, overall truck revenue per load increased 3.1% in the 2024 fourth quarter compared to the 2023 fourth quarter entirely attributable to an 8% increase in unsided/platform revenue per load. Revenue per load on loads hauled by van equipment decreased 0.2% year-over-year. On a sequential basis, truck revenue per load increased 1% in the fourth quarter versus the third quarter. We consider the 1% sequential increase in line with pre-pandemic normal seasonality, a positive sign, given the strong launch point of the 2024 third quarter, which saw truck revenue per load increase 3.2% sequentially. In comparison to overall truck revenue per load, we consider revenue per mile on loads hauled by BCO trucks a pure reflection of pricing as it excludes fuel surcharges billed to customers that are paid 100% to the BCO. In 2024 fourth quarter, revenue per mile on unsided/platform equipment hauled by BCOs was 17% above the 2023 fourth quarter, while revenue per mile on van equipment hauled by BCOs was 3% above the 2023 fourth quarter. Delving deeper into seasonal trends, revenue per mile and loads hauled by BCOs on unsided/platform equipment increased 4% from September to October; increased 4% from October to November; and increased yet another 4% from November to December, outperforming pre-pandemic typical seasonal patterns each month in the quarter. With respect to loads hauled by BCOs on van equipment, performance versus pre-pandemic typical seasonal patterns was choppier. Revenue per mile on van equipment hauled by BCOs increased 1% from September to October outperforming these trends, decreased 1% from October to November, underperforming these trends, and increased 3% from November to December, again outperforming. It should be noted that month-to-month seasonal trends on unsighted platform equipment are generally less predictable compared to that of van equipment, as relative volatility is often due to the mix between heavy specialized loads and standard flatbed volume. As Frank alluded to, we’ve experienced strong recent performance in our heavy haul service offering. Heavy haul revenue was up an impressive 24% year-over-year in the fourth quarter, significantly outperforming core truckload revenue. Heavy haul loadings were up approximately 8% year-over-year, while revenue per heavy haul load increased 15% year-over-year. This represented a mix tailwind to our unsided/platform revenue per load as heavy haul revenue as a percentage of the category increased from approximately 33% during the 2023 fourth quarter to approximately 38% in the 2024 quarter. Non-truck transportation service revenue in the 2024 fourth quarter was 20% or $18 million above the 2023 fourth quarter. The increase in non-truck transportation revenue was mostly due to a 23% increase in ocean revenue per shipment and a 15% increase in ocean volumes, partially offset by a 25% decrease in intermodal revenue, primarily driven by a 14% decline in revenue per load and a 12% decline in loadings. Turning to Slide 10. We’ve provided revenue share by commodity and year-over-year change in revenue by commodity. Transportation Logistics segment revenue was up 1% year-over-year on a 5% increase in revenue per load, partially offset by a 3% decrease in loadings as compared to the 2023 fourth quarter. Within our largest commodity category, consumer durables, revenue declined 1% year-over-year on a 6% decline in volumes, partially offset by a 5% increase in revenue per load. Aggregate revenue across our top five commodity categories, which collectively make up about 68% of our transportation revenue was down 4% compared to the 2023 fourth quarter. While Slide 10 displays revenue share by commodity, we thought it would also be helpful to include some color on volume performance within our top five commodity categories. From the 2023 fourth quarter to the 2024 fourth quarter, total loadings and machinery were approximately equal. Automotive equipment and parts decreased 3%, building products increased 5% and hazardous materials decreased 11%. Additionally, substitute line haul loadings, one of the strongest performers for us during the pandemic and one which varies significantly based on consumer demand, decreased 24% from the 2023 fourth quarter. As we’ve mentioned many times before, Landstar is a truck capacity provider to other trucking companies, 3PLs and truck brokers. During periods of tight truck capacity, those other freight transportation providers reach out to Landstar to provide truck capacity more often than during times of more readily available truck capacity. The amount of freight hauled by Landstar on behalf of other truck transportation companies is reflected in almost all of our commodity groupings, including our substitute line haul service offering. Overall, revenue hauled on behalf of other truck transportation companies in the 2024 fourth quarter was 16% below the 2023 fourth quarter, a clear indicator that capacity is readily accessible in the marketplace. Revenue hauled on behalf of other truck transportation companies was 13% and 15% of transportation revenue in the 2024 and 2023 fourth quarters, respectively. Even with ups and downs in various customer categories, our business remains highly diversified with over 23,000 customers, none of which contributed over 7% of our revenue in the 2024 fiscal year. Turning to Slide 11. In the 2024 fourth quarter, gross profit was $109.4 million compared to gross profit of $124.6 million in the 2023 fourth quarter. Gross profit margin was 9% of revenue in the 2024 fourth quarter compared to gross profit margin of 10.3% in the corresponding period of 2023. In the 2024 fourth quarter, variable contribution was $166.5 million compared to $178.1 million in the 2023 fourth quarter. Variable contribution margin was 13.8% of revenue in the 2024 fourth quarter compared to 14.8% in the same period last year. The decrease in variable contribution margin compared to the 2023 fourth quarter was primarily attributable to a decreased variable contribution margin on revenue generated by truck brokerage carriers as the rate paid to truck brokerage carriers was 103 basis points higher than the rate paid in the 2023 fourth quarter and a mix headwind. Turning to Slide 12. Operating income declined as a percentage of both gross profit and variable contribution, primarily due to the impact of the company’s fixed cost infrastructure, principally certain components of selling, general and administrative costs in comparison to smaller gross profit and variable contribution basis. Other operating costs were $14.6 million in the 2024 fourth quarter compared to $13.2 million in 2023. This increase was primarily due to an increased provision for contractor bad debt and decreased gains on sales of used trailing equipment. Insurance and claims costs were $30.1 million in the 2024 fourth quarter compared to $27.3 million in 2023. Total insurance and claims costs were 6.7% of BCO revenue in the 2024 fourth quarter as compared to 6% in the 2023 fourth quarter. The increase in insurance and claim costs as compared to 2023 was primarily attributable to increased severity on cargo claims, primarily due to cargo theft and fraud in the supply chain and increased net unfavorable development of prior year auto liability claim estimates, partially offset by decreased BCO miles traveled during the 2024 period. During the 2024 and 2023 fourth quarters insurance and claims costs included $2.2 million and $900,000 of net unfavorable adjustment to prior year claim estimates, respectively. Selling, general and administrative costs were $55.1 million in the 2024 fourth quarter compared to $52.7 million in the 2023 fourth quarter. The increase in selling, general and administrative costs were primarily attributable to increased information technology costs and an increased provision for customer bad debt, partially offset by decreased provisions for compensation under our variable compensation programs. Depreciation and amortization was $12.7 million in the 2024 fourth quarter compared to $13.7 million in 2023. This decrease was primarily due to decreased depreciation on software applications, partially offset by increased depreciation on the company’s trailer fleet. The effective income tax rate was 21.4% in the 2024 fourth quarter compared to an effective income tax rate of 24.1% in the 2023 fourth quarter. The decrease in the effective income tax rate was due to the favorable impact of certain state income tax items during the 2024 period. Turning to Slide 13 and looking at our balance sheet. We ended the quarter with cash and short-term investments of $567 million. Cash flow from operations for the 2024 fiscal year was $287 million and cash capital expenditures were $31 million. The company continues to return significant amounts of capital back to stockholders with $120 million of dividends paid and approximately $81 million of share repurchases during the 2024 fiscal year. The strength of our balance sheet is a testament to the cash-generating capabilities of the Landstar model. Back to you, Frank.
Frank Lonegro: Thanks, JT. As we progress through the first quarter, we anticipate that month over prior year month comparisons may become more challenging as both the number of loads hauled via truck and truck revenue per load outperformed normal seasonality during the 2024 first quarter. As an example, last year, truck revenue per load increased from fiscal January to fiscal February by 60 basis points, significantly outperforming the typical 160 basis point decrease. Looking at historical seasonality from Q4 to Q1, pre-pandemic patterns would normally yield a 5% decline in the number of loads hauled via truck and a 4% decline in truck revenue per load yielding a lower top line sequentially. On the rate side, in fiscal January, truck revenue per load has trended reasonably in line with seasonal pre-pandemic patterns. In terms of truck volumes, during fiscal January, our truck volumes trended slightly ahead of normal sequential month-to-month patterns based on pre-pandemic seasonal performance trends. However, we did experience some softness during the last fiscal week of January, which was more pronounced on BCO dispatch loadings as compared to truck brokerage loading. We attribute the softness experienced during the last week of the month to the severe winter weather that recently crossed the entire country and the Southern California fires. One other point is worthy of mention, with the change in the administration we, like many, are looking for visibility into policy shifts that may have an impact on North American freight transportation. To be clear, our first quarter guidance does not anticipate any potential negative impacts from tariffs. Turning to Slide 15. Our year-over-year expectations for the 2025 first quarter are the truckload volumes will be in a range of 7% below to 2% below the 2024 first quarter and truck revenue per load will be in a range of 2% below to 3% above the 2024 first quarter. On a sequential basis, our guidance for the first quarter implies a 5% decline to a 1% increase in truckload volumes and a truck revenue per load ranging from down 6% to down 1% versus the 2024 fourth quarter. We also expect revenue for our non-truck modes to be modestly below what we experienced in the 2024 fourth quarter, reasonably in line with normal seasonality. Based on these assumptions, we expect revenue in the 2025 first quarter to be in the range of $1.075 billion to $1.175 billion and earnings to be in a range of $1.05 per share to $1.25 per share. The 2025 first quarter guidance incorporates a variable contribution margin of 14.0% to 14.3% and insurance and claim costs of approximately 6.0% of estimated BCO revenue. One last point before we take your questions. The 2024 fourth quarter included a $0.05 tax benefit as a result of favorable state income tax items. We do not expect similar tax benefits to occur in the 2025 first quarter. With that, Arlene, we’d like to open the line for questions.
Operator: Thank you very much, sir. At this time, we will begin the question-and-answer session. [Operator Instructions] Our first question comes from the line of Scott Group from Wolfe Research. Your line is now open.
Scott Group: Hey, thanks. Afternoon guys. So wanted to just get your views of where we are in the cycle and some of the data may be getting better. I think some of the truckers sounding more optimistic I hear from you still lots of capacity available. So where do you think we are and how do you think about the cycle playing out this year?
Frank Lonegro:
 – : At the same time, we’re all looking for a level of clarity from DC these days on policy. Certainly, anything that is Pro U.S. or Pro North America is good for Landstar. We’re also watching closely the Fed. Obviously, you guys all saw the news today of holding steady there. There are interest rate sensitive customer bases in our portfolio housing and all that would be examples of that. I would say that the rate environment is ever so slowly starting to turn. I think shippers are taking or trying to take one last bite at the apple. Matt may have some commentary on that one. But it does feel like some capacity needs to continue to come out. We’re continuing to see that not only in our BCO fleet, but also more broadly. So at the beginning of the end or the beginning of the beginning would be a short summary. Matt, I don’t know if you want to put any context around some of the agent conversations and customer conversations you’re having.
Matt Dannegger: Yes. Excuse me. I would say the agents are cautiously optimistic. We’re starting to see some positive things Frank mentioned, we’re a positive revenue in Q4. We haven’t seen that in a while. Consumer durables, we were just a negative one in Q4. Q3, we were minus 3%. So we’ve made a little ground there, and we’ve not been a positive quarter on that in several years now. So it feels like we’re chipping away at that, say, on building products. We’re starting to see a little bit of gain there, positive two quarters in a row in revenue growth. So I think we can definitely put our finger on some things that are positive. But on the flip side, to Frank’s point, van rates still continue to struggle, and we got a lot of vans out there. So to Frank’s point, cautiously optimistic.
Scott Group: Okay. And then I wanted to just ask on the BCO count. That continues to just trend a little bit lower. What are you expecting near term? And just given like the pretty dramatic drop in BCO, like are we comfortable that when the cycle turns, if they’re all going to just come right back? Or do you think we need – do we need to do anything different to sort of incent the BCOs to come back or the cycle is going to play out and they’re going to come back. How do you think about that?
Frank Lonegro: Yes, Scott, another good question as always. I would say that 1 of the things that was in the prepared remarks, which I think is really important. When you look at ending 2024 versus ending 2023 BCO count, it’s down about 10%. When you look at revenue on a year-over-year basis, it’s down on the truck side, about 10%. If we were an asset carrier, you’d be asking about, hey, are you getting the costs out quick enough given the revenue decline. So I mean, I think our model variabilizes those costs almost on a self-executing basis when we’re in cycles like we’ve been in for the last three years. When you look at the quarterly view, the cycle is moderating. In other words, we are having fewer on a net basis, fewer declines in the overall fleet. I would say that if you looked at the second half of 2024, we’re sort of in the best shape from a lessening of declines since the first half of 2022. So we’re seeing the end of the cycle on that one. The first quarter is always a negative quarter for us if you look at history in terms of the BCO count relative to the fourth quarter, it’s a seasonal phenomenon that pretty much happens religiously. When you think about what’s going to happen as the cycle turns, I mean, rates clearly our friend. In a percentage pay model, rate is going to be your friend as the rate turns positively. We’re still adding – when you dissect the numbers, we’re still adding hundreds of BCOs every quarter. We obviously need that number to continue to go higher. Rate helps there, but we’re still experiencing turnover at a higher than typical level, and we would expect that number to come down. As I mentioned in my remarks, I mean, Matt being newer in his role since the 1st of December, he’s going to look at things with all of the passion energy analytics and creativity that you would expect somebody new coming into that job would. And so let me let him take over a little bit and tell you how he is really attacking both sides of that equation.
Matt Miller: Sure. Thanks, Frank. And I appreciate the question. The last two quarters were the lowest net losses in trucks we’ve seen to Frank’s point. In the most recent 10 quarters, when you look at it on a percentage of the fleet basis, and then we have seen sequential improvement in that turnover rate such that we’ve gone from a high watermark last year of 41%, down to 34.5% here now, which is beneath the 2019 and 2016 past rate recession levels. So in terms of retaining the BCOs, I think we’re seeing quite a bit of improvement there over the course of this year, quarter-over-quarter, where it’s a little more challenging is getting folks in the door, as Frank alluded to. And so we are, we’re digging into how we’re marketing, we’re digging into how we’re qualifying, we’re digging into how we’re going through orientation and then the support that we provide and trying to make it as easy as possible to do business with us. That said, if you look back you don’t have to look further than 2021. The model really lends itself to growing the fleet incredibly well. We added 873 net trucks. 2020, we added 748. 2018, we added 903 and 2014, we added 500. So I do think as things progress and we start to see more in the way of rate and a better demand environment. We’re going to see the model do what it’s done for many, many years.
Scott Group: Make sense. Thank you, guys. I appreciate the time.
Operator: Thank you. Our next question comes from the line of Jason Seidl from TD Cowen. Your line is now open.
Jason Seidl: Thanks, operator. Frank and team, good afternoon. I appreciate the time. Wanted to focus a little bit on your comments on heavy haul. I thought it was rather interesting. I think you said within heavy haul itself, the revenue per load was up 15%. I was wondering what was driving that and what you thought was driving increased demand on the heavy haul side in general?
Jim Todd: Jason, this is Jim. Really, it’s a continuation of the strength that we’ve seen really throughout 2024. We did call out in September, we had a little bit of a step back, and we believe that was largely weather related with the hurricanes. But we’ve seen broad-based demand across a whole bunch of different industries there, Jason, whether it’s aerospace, defense, government, auto, 3PL, et cetera, et cetera. And I’ll pass to Jim Applegate, who runs that vertical and has had a lot of success this year.
Jim Applegate: Thanks, Jim. Jason, how you doing?
Jason Seidl: Good.
Jim Applegate: Jason, the heavy haul has been a strategic initiative that we identified at the very beginning of the year. We’ve got a really solid foundation. We’re one of the largest fleets that operate within that segment. Supported by probably the safest, most train drivers and expert group of agents that go after that market. So basically, what we’ve done is we’ve invested into talent from a leadership standpoint, and in certain areas, such as agent development, sales and marketing, to really kind of spur our agents to get into those markets and really support them while they grow. And you heard in Frank’s opening comments, really, our model is all about support and providing good service and safety to our customers and supporting our agent families so they can be successful. And over the year, we’ve done a really good job of doing that and have really kind of bolstered the team. From an agent family standpoint, a lot of our development efforts, we’ve increased the amount of agents that actually sell into that space. We grew that base by about 23 agents. So we’re getting a lot of agents getting more interested into it, getting trained up. And as JT talked about, the end markets that we’re going into, it’s broad-based across the board. When you have that many agents that are experts in the field supported by a really good staff it allows you to kind of break into these different markets, and that’s been very favorable for us.
Frank Lonegro: Jason, it’s Frank. Good to hear your voice. I’d add just two other things. We’ve done a fair amount on the technology side recently in the heavy haul space. One of the things that’s important there is appropriate rating and appropriate routing. And those are areas where we’ve deployed some new and different technology to make sure that when we do quote something, we understand the kind of the full spectrum of services that are required. This is a very high-touch service offering. It’s one that has a level of complexity that your typical van freight does not. So making sure that we are rating it correctly is important. And again, we’ve deployed some human capital there and some technology capital and then routing. Obviously, those two things are in many respects, correlated, but making sure that we are running those high and wide loads and heavy loads for that matter over the right routes and making sure that we’re doing it safely and securely. There’s some real magic there that I think we deployed in 2024, – that’ll benefit us going forward.
Jason Seidl: That sounds good. I appreciate the color. I also wanted to dive in, you mentioned, obviously, that your commentary does not include any impact from potential tariffs. Could you sort of remind us where you think your exposure is tariffs on China versus tariffs versus sort of like a North-South Mexico, Canada?
Frank Lonegro: Yes. I would say, Jason, that our larger exposure relative to the items that you just mentioned is on the U.S.-Mexico cross-border, I’ll let JT get into the numbers of that and others around the table can chime in on how that business works. But if there are tariffs on U.S.-Mexico, which then require a different sourcing of manufacture, assuming that’s somewhere else in North America, to me, that’s just a shift in where that revenue would come from if it ultimately comes from places that are offshore, which doesn’t seem as likely, we would have less impact there. I mean our intermodal business is not as large our air and ocean business is not that large relative to the cross-border business, but that would be where we would see the impact if there was anything on the U.S.-China. Let me let JT hit the details.
Jim Todd: Yes. Jason, so to Frank’s point, we did just over $540 million of U.S.-Mexico cross-border revenue in 2024.
Jason Seidl: That’s good commentary. Perfect. Gentlemen appreciate the time.
Frank Lonegro: Thanks.
Operator: Thank you. Our next question comes from the line of Jordan Alliger from Goldman Sachs. Your line is now open.
Unidentified Analyst: This is [indiscernible] on for Jordan Alliger. I guess I was curious, just thinking about the BCO continuing to drip out. How much is this impacting the variable contribution mix? And how should we think about this as they start to come back in? Can we start to see variable contribution mix really start to improve and see that percentage go higher?
Frank Lonegro: Yes, that’s a really good question and obviously, very observant on your part. It has impacted clearly along with net revenue margin compression on the brokerage side. I think when we come out the other side of this, it’s going to depend on the relative growth rates of the BCO handled freight versus the brokerage handled freight. And if those thing go in favor of BCO then you’re going to – and assuming that you don’t have the same compression on the brokerage side, you’re going to see variable contribution margin increase. When you look at it on a true bottom line perspective, they’re relatively equivalent. So we’re not in the business of saying not afraid if it wants to come in through the brokerage side versus the BCO side. I mean they’re obviously both good for Landstar and good for our customers. But I’d certainly like to see and Matt’s got the laboring or on this one to make sure that our BCO count inflect positively as we turn the page into the middle of 2025. And I think he’s got some good things that he’s working on to get that fleet back where we want it to be. And as I mentioned in I think Scott Groups question, rates our friend on this one. As rate progresses forward, the percentage pay model is really a benefit to the BCO is it a benefit to us. So we look forward to that when that happens. But I don’t know, JT, or Matt, you guys have additional color you want to provide on that?
Jim Todd: Nothing to add there.
Unidentified Analyst: Great. And then as a follow-up, I was curious, as we see that it really is volumes that continue to be negative in the total truck space. What needs to happen to see that volume really turn around? Is it really going to – do we need to see demand to really come in to actually start to see this up cycle come through? Or as far as just thinking about total earnings, do we need to start to see more of that capacity come out? So I guess which side of the corner are you looking at more demand or more capacity having to exit?
Frank Lonegro: Both, I guess, is a quick answer to your question. I think on the demand side, the industrial economy has sort of sputtered along in the high 40s, for example, on ISM and things like that, and you’re seeing IDP maybe at percent-ish. So we’re not seeing tremendous strength at a macro level in the industrial economy. So whether it’s deregulation or less regulatory overtones, better interest rate environment, pro U.S. policy, whatever you want to say in that respect, I mean, if we end up with a better U.S. manufacturing, U.S. industrial complex, we’re clearly going to benefit from that. At the same time, when you hear us talk about the platform business and the heavy haul business, we are clearly doing well in those areas even in a sluggish industrial economy. So that’s only going to work to our benefit if we end up getting a little bit more helpful on the demand side. I think on the consumer side of the economy, I think we’re still a little bit in the overhang of COVID, where a lot more people bought a lot more goods during that period of time. And now it’s a little bit more on the services side. So that as that comes back toward equilibrium to maybe potentially where it was in the pre-COVID time period, that’s going to be a benefit to us as well. And I think the capacity is going to continue to come out because I don’t think rates are going to boomerang back. I think there’s going to be a slow steady progress of rate improvement throughout 2025, absent policy overtones. And so I think you’re going to continue to see some capacity come out, not just from our fleet, but from other’s fleets. So I think it’s going to meet at some point in time, whether it’s in 2025 or 2026, where we’re actually going to see better demand combined with lesser supply, and you’re going to see a nice rate inflection.
Unidentified Analyst: Great. Thanks, everyone.
Operator: Thank you. Our next question comes from the line of Daniel Imbro from Stephens Incorporated. Your line is now open.
Unidentified Analyst: Hey guys. This is, excuse me, this is Reed on for Daniel. I just want to ask about we’ve had some unfortunate weather events recently. Given your mix of business, should we expect to see any benefit from rebuilding efforts in the near future on the East Coast or on the West Coast? And could you also remind us of any presence or what size presence you have out in California?
Frank Lonegro: Yes, I’d say if you took a step back and looked at the last let’s call it, nine to 12 months. You’ve had a number of hurricanes from the hurricane season in 2024 that impacted Florida as well as the kind of the Appalachian valleys. So do I think we will see something over time from those storms? Yes. I think that many of those areas had almost complete destruction. So you’re going to have more demolition first and rebuilding second. I would say the same, honestly, in the California wildfire situation. Obviously, they’ve got to get things completely under control out there, but there’s going to be demolition before there’s reconstruction. We did see a little bit of an uptick in the Carolinas with food and water and things like that and the immediate aftermath of one of those named storms from last fall. So I think, yes, we will see it. I think we will see it over an elongated period of time. We don’t participate in the deconstruction element of things, so we’re more on the construction element when that springs back in. But I think it’s going to trickle in over a long period of time. I don’t think you’re going to see a significant bump back in that one. Our California exposure, we don’t have very many BCOs that are still domiciled in California just given the AB5 and similar regulatory items out that way. But we do have people that go in and out of California. I wouldn’t say it’s a huge piece of our business. But if there is a need to have truckload service in and out of California to help rebuild after the wildfires, we’re ready, willing and able to do that.
Unidentified Analyst: All right. Perfect. Thank you. And just zooming on the expenses front, we saw it flip positive year-over-year for the first time in quite a few quarters here in the fourth quarter. Can you talk about maybe some puts and takes in 2025 and kind of directionally where we should expect to see that go from here?
Jim Todd: Of course, Reed, and you’re talking about the indirect expenses below PT commissions?
Unidentified Analyst: Correct.
Jim Todd: Yes. So the big one I would size up for you, Reed, is about a $14 million headwind 2025 versus 2024 on the rebuild of the performance-based incentive compensation and stock-based compensation coming off a bear case 2024. We will endeavor to eat into that as much as possible a couple items I throw out our contractor bad debt given the elongated freight recession here in 2023 and 2024 has run significantly above average. We are looking for mean reversion there. Clearly, rightsizing the trailer fleet, bringing some gains on disposal. Frank talked about the refresh that we did, we took delivery of a lot of new trailers in the fourth quarter of 2024. And with that, you would expect the maintenance and tire tailwind on new equipment. And then we continue to be very disciplined on CapEx and people. We’ve only got 1,340 employees here supporting a $5-plus billion top line, but we’ll continue to run a tight ship from a people and CapEx standpoint into 2025.
Unidentified Analyst: All right. Appreciate those guys.
Operator: Thank you. Our next question comes from the line of Bruce Chan from Stifel. Your line is now open.
Andrew Cox: Hi. Good afternoon, team. This is Andrew Cox on for Bruce. I wanted to talk about kind of the current state and mix of the BCO fleet. Looking at where it sits right now, it’s basically in line with where it was a decade ago. And down to the 10% year-over-year and down 30% since the peak. I just wanted to know if there’s any insight you guys can share with us about how the fleet has changed based on what BCOs remain and what have exited, whether it be by trailer type or aged fleet or any other changes you want to speak to the BCO fleet over the past couple of years? Thank you.
Frank Lonegro: Hey Andrew, good set of questions. What’s interesting as we look at the fleet, folks that don’t have a truck payment, obviously have a little bit of a competitive advantage. We’re generally not the first job that drivers have. We’re more later career because of the freedom and the opportunity that we provide folks to take the loads and run as much as they want and where they want and the type of freight that they want to haul, so they’re able to be more specialized rather than on a force dispatch, which is a company can send you pretty much everywhere to haul anything that you are qualified to haul. Our average age of drivers, I don’t think has changed very much. Matt will get into the details, but I don’t think our average age has changed very much. I don’t think the average age of the tractor has changed very much. So I think our – the composition of our BCOs is relatively similar to where it’s been in the past. I think when we look at the economics to the driver, the folks who have a truck payment, it’s harder to make ends meet, and therefore, what you’re able to do as an alternative while the rate environment improves is a little bit of a closer question. You can run locally or you can work construction or something like that. And if you have a truck payment effectively the same amount of money. If you don’t have a truck payment, then you’re still at a better place by doing long-haul trucking like we do. But Matt’s got a bunch of the details. So let me let him take over.
Matt Dannegger: Sure. Thanks, Frank. And I would echo what he said that cost structure is a critical element. And of course, folks that were purchasing equipment as the supply chain crisis sort of ensued put some at a difficult spot and the prolonged nature of the economic downturn has obviously hit those folks harder than somebody that had a little to no debt on their truck. The average age of the BCO is just north of 50 years old, and that’s been the case for a very long time. The average age of the truck is about 10 years old, which has been the case for a very long time. One thing that we don’t move that perhaps others do move, then that would have an impact on folks coming in the door as our safety standards, which Frank mentioned in his opening remarks that we feel is an incredibly important element of our differentiation is our safety standards and maintaining that safety standard. So could that move differently if we made it easier to get in the door, absolutely. Have we, no.
Andrew Cox: Okay. Understood. Thank you. That’s helpful. I guess just a quick follow-up on that. So given the growth in the heavy haul unsided platform business, the mix of the BCOs there versus sand hasn’t really changed over time?
Matt Dannegger: On the heavy haul side, we have seen sort of something that you would expect given the uptick that we’ve seen on heavy haul roughly to the tune of 17% more BCOs in the most recent quarter.
Frank Lonegro: Okay. Thank you.
Andrew Cox: Yes. Thank you. That’s very helpful. I will pass it on.
Frank Lonegro: Thanks Andrew.
Operator: Thank you. Our next question comes from the line of Stephanie Moore from Jefferies. Your line is now open.
Unidentified Analyst: Hey, how’s it going guys? This is Peter Sullivan [ph] calling for Stefi Moore. I was just curious to get a little bit more thoughts on capital allocation heading into 2025, specifically when it comes to share buybacks, dividends and then potentially opportunistic M&A? Thanks.
Frank Lonegro: Hey good questions, Peter. I think if you look at our history over the last six or eight years, we’ve been very consistent in the way that we’ve deployed capital. We’ve got a regular dividend. We generally speaking, have increased that every year. We’ve had a special dividend almost every year in that period that I mentioned. We obviously declared and paid that very recently as we concluded the fourth quarter and started the first quarter. Buybacks, I would say that our policy has not changed, which is to be patient, meaning we’re not going to let a balance sheet cash number that’s a little bit outsized relative to issue. We’re not going to let it burn a hole in our pocket. We’re looking for opportunities to be in the market. and take advantage of volatility. We didn’t see that level of volatility. It was sort of asymmetric in the open window for us in the fourth quarter given the election in the postelection run up. So, we were largely on the sidelines in Q4. But volatility, not unlike any other trader volatility works in our favor. So, we’re going to be, again, patient and opportunistic going forward. I think in terms of M&A, as I think I’ve mentioned in prior calls, I mean, the uniqueness of our model really takes the overall universe of potential targets down significantly. So not to say that we wouldn’t do something if it was a really good fit. We just don’t have the same degrees of freedom perhaps that other companies might – if you’re an asset provider, you can buy other asset providers. But we’re not going to get into the asset provider business. We’ve got a really, really good model that’s been successful over a long period of time. But if there are opportunities, where it’s sort of core to what we do, we’ll certainly look at it.
Unidentified Analyst: Good. Thank you, guys.
Operator: Thank you. At this time, I show no further questions. I would like to turn the call back over to you sir, for closing remarks.
Frank Lonegro: Thanks, Arlene. In closing, while the freight environment remains challenging, we do see some positives in the near term. In Q4, we were encouraged to see year-over-year quarterly revenue growth for the first time since the 2022 third quarter. In addition, even with a choppy industrial backdrop, we were pleased with the 6% year-over-year revenue increase on our unsided/platform service offering, driven by a strong year-over-year improvement in revenue per load. And regardless of the economic environment, the resiliency of the Landstar variable cost business model continues to generate significant free cash flow. Landstar has always been a cyclical growth company and we are well positioned to navigate these dynamic times and look forward to higher highs when the freight market turns our way. Thank you for joining us this afternoon. We look forward to speaking with you again on our 2025 first quarter earnings conference call in late April. Thank you.
Operator: Thank you for joining the conference call today. Have a good evening. Please disconnect your lines at this time.